Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Methanex Corporation third quarter results conference call. As a reminder, this call is being recorded on Thursday October 25, 2012. I would now like to turn the conference call over to Mr. Jason Chesko, Director of Investor Relations. Please go ahead Mr. Chesko.
Jason Chesko: Good morning, ladies and gentlemen. I would like to remind our listeners that our comments and answers to your questions today may contain forward-looking information. This information by its nature is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. Certain material factors or assumptions were applied in drawing the conclusions or making the forecast or projections which are included in the forward-looking information. Please refer to our latest ND&A and to our 2011 annual report for more information. For clarification any references to EBITDA, cash flow or income made in today's remarks reflect our 60% economic interest in the Egypt project. In addition we report our adjusted EBITDA and adjusted net income to exclude the mark-to-market impact on share-based compensation and expenses and charges related to the Louisiana project. We report our results in this way to make a better measure of underlying operating performance and we encourage analysts covering the company to report the results in this manner. I'd now like to turn the call over to Methanex' President and CEO, Mr. Bruce Aitken, for his comments.
Bruce Aitken: Great, thank you Jason and good morning to everyone, and welcome to our third quarter investor conference call. I have got a number of colleagues with me here in the room, and they will be here to help answer questions a little later. We reported adjusted EBITDA of $104 million and adjusted net income of $36 million or $0.38 per share. EBITDA was slightly lower in Q2 since the average realized price in Q3 reduced by about $11 per ton. Cells of producing methanol were up slightly at the last quarter, as we benefited from higher production from our second plant in New Zealand. However, this was offset by lower production from Egypt. While I would characterize the third quarter results as okay, I don’t think they’re a good reflection of the earnings capability of the company. We sold a little over a million tonnes of Methanex-produced methanol in Q3. However, today we have capacity to produce and sell $1.3 million tonnes of our own production on a quarterly basis. I think the issues impacting our current production causing these differences are short term and I expect we should be able to post significantly better production and earnings in the near future. And with the several initiatives we have in place to increase capacity, we’ve significantly more upside potential to our earnings over the next few years. I’ll be commenting more on the expectations for Q4 and the industry and pricing outlook a bit later in the call. But, before I do that, I’ll make some comments regarding our operations during the quarter. In Trinidad, our plants operated at 86% capacity and produced 441,000 tonnes of methanol. Gas curtailments continued to impact our Trinidad operations in the third quarter and we’ve lost some production as a result of maintenance outages. For the last couple of months, two large natural gas platforms have been undergoing maintenance. We’ve used this as an opportunity to take down the Atlas plant and perform some repairs. We expect the plant to restart in early November which should acquaint to that 85,000 tonnes of lost production in Q4, based on our 63% equity position. As I’ve mentioned on previous occasions, we are engaged with key stakeholders to find a solution for the gas curtailment issued in Trinidad. We understand that the major platform repairs that commence in September and now substantially complete and we would expect this to lead to improve the gas delivered reliability in coming quarters. In New Zealand, the second Motunui plant started at the beginning of the quarter, and both plants operated well in Q3 and produced 346,000 tonnes of methanol. The Motunui site now has capacities produced at an annualized rate of $1.5 million tonnes and we had a measurement in place to increase production further in New Zealand, which I’ll comment on later on the call. In Chile, we continue to operate one plant at low rates and produce 59,000 tonnes. The short term outlook for natural gas in Chile continues to look challenging and I’ll also comment more on this in just a few moments. Egypt plant produces 62,000 tonnes during the quarter based on that 60% interest. The plant was down in the first couple of weeks of Q3 to complete plant maintenance and inspection activities during the remainder of the quarter, natural gas constraints impacted our operations and the operations of other industrial users in Egypt. Our observation is that ongoing uncertainty in the country has prompted many changes within key ministries and this environment, a lack of timely decision making has led to short term issues in many parts of the economy, including energy infrastructure. With respect for the gas grid, maintenance issues have temporarily reduced deliverability at a time of incremental electrical demand associated with hot summer weather. These factors have led to a rapid gas supply from the grid. Egypt plant is currently operating at about 70% capacity, and while it’s difficult to provide certainty on the near term outlook, we are expecting gas deliveries to improve. We continue to believe that gas disruptions are a short term issue. The country has more than 70tcf of proven reserves and it is reserved to production ratio is more than 30 years. Finally, our plant in Medicine Hat, Alberta operated very well, producing a full capacity of 117,000 tonnes in Q3. We started this plant as being an excellent investment for shareholders and we are working on the bottlenecking project that could increase capacity by about 20% on mid 2013. Turning now to industry conditions over the past quarter markets have remained relatively balanced and the pricing environment has been quite stable. Entering Q4, demand is generally steady to some seasonal pick up. Energy demand in China continues to be strong and we anticipate with colder temperatures in Q4. Demand for DME should increase. In addition, a large merchant MTO plant in Ningbo on the coast of China is expected to start up by the end of November and we expect production to be phased in over the coming quarters. This facility will require about 1.8 million tonnes of methanol annually to operate at capacity. The impact of MTO on the methanol industry is significant. Including this upcoming plant, we estimate there is merchant MTO capacity under construction in China requiring 8 million tonnes of methanol per annum, a very significant amount relative to the size of the global methanol market of about 50 million tonnes. And in addition to the merchant MTO projects, there are a number of integrated coal to olefins projects in China that could also draw on merchant methanol supply. The outlook for methanol fuel blending in China also continues to look strong. Last month, at a methanol gasoline summit in Xian, the China Association of Alcohol and Ether Clean Fuels presented on the progress of methanol fuel blending in China. They reported that China consumed about 7 million tonnes of methanol and gasoline blends last year and they expect this to grow to 15 million tonnes by 2015. And while there are about a dozen provinces in China today, with provincial fuel standards in place, it was interesting to see the association report that 26 provinces have entered into research and development on methanol fuel, and there are currently about 160 enterprises involved in the methanol gasoline industry. Turning to methanol supply, there -- continued to be a significant number of planned and unplanned outages impacting[ph] methanol supply across the industry. Markets have tightened and in recent weeks we have seen a significant upward pressure on spot pricing particularly in the Atlantic basin. Yesterday, we posted our North American non-discounted price for November at $482 per tonne, which is up $43 per tonne from October. Longer term the outlook for the industry and pricing environment looks very attractive. As demand growth is expected to significantly outpace new capacity additions over the next few years. This implies that a strong pricing environment will be needed to entice higher cost industry capacity in China and other locations to operate. The outlook matches well with our plans to increase production over the next few years. So, on this note I’ll switch topics and provide you an update on our key initiatives to increase production and capitalize on the favorable industry outlook. Firstly, in New Zealand the recent restart of the second Motunui plant has added 650,000 tonnes of production capacity at a modest capital cost and we have further initiatives in place to increase capacity in New Zealand by debottlenecking the Motunui site and potentially restarting the Waitara Valley plant. These projects have the potential to add up to 900,000 tonnes more capacity by the end of next year with a modest outlay of capital. We are little disappointed with the progress on agreeing commercial terms on the new gas contracts. We continue to observe strong availability of natural gas in the coming years, but before we make a decision on Wiatara Valley restart we need more certainty in the form of a gas contracts. We continue to make good progress on the Louisiana project. We have about 300 contractors on the Chile site progressing the dismantling activities and about 40 on site in Geismar involved in early site preparation. We expect the key permit to be place in place in Q4 which will allow us to proceed with their full work plan on the Geismar site. Overall, the project remains on-track to be producing methanol in Geismar by the end of 2014. This project offers significant schedule savings in comparison to the similar greenfield methanol plant that we think would take up to 5 years to design, permit, construct and commission. We continue to make progress in discussions to secure a long term gas supply agreement for the Louisiana project and I am quite optimistic that we will conclude a sensible outcome in the next few months. However, if we are not successful in reaching an agreement we are confident that the fundamentals of the North American gas market and our ability to hedge using financial instruments will support a timely payback of capital and provide attractive project economics. Assuming a natural gas price of about $4/mmbtu, the plant would generate about $200 million EBITDA per year in the current methanol pricing environment and have a cash payback period of less than 4 years. We are also evaluating the potential to relocate a second plant from Chile to Louisiana. Our site in Geismar is large enough to accommodate multiple methanol plants and we believe there will be significant cost savings in moving a second plant. We expect to make the decision on the second relocation in the first half of 2013. This timetable will allow us to learn from the first relocation and move the second plant sequentially which keeps resources mobilized and lowers costs. Turning to Chile, as I mentioned earlier, we continue to operate one plant at low rates and the short term outlook for natural gas continues to be quite challenging. We have been maintaining a workforce in southern Chile appropriate for a two-plant operation. However, as it is unlikely we return to a multi-plant operation in the near term who reduced our workforce in Chile earlier this month by about one third. This is a one off cost of $5 million which will be recorded in Q4 earnings and on a go forward basis we will reduce our fixed costs in Chile by about $8 million per annum. This was a necessary step to keep costs down and preserve the optionality of our Chile assets. We continue to believe that there is potential to increase natural gas supply that could underpin a multi-plant operation in Chile over the long term. With the improvement of weather in the southern hemisphere increased drilling activity has started in several blocks in the area near our plant and we are working on initiatives to bring new technology and encourage broader participation to more quickly unlock some of the reserve potential. There are also several prospects involving unconventional reserves, currently being evaluated in southern Chile that have the potential to supply multiple tcf’s of gas and we expect to learn more about the technical and commercial viability of these prospects over the next year. I’ll change topic now and make a few comments regarding our liquidity and capital allocation during the quarter we generate $103 million of cash flow from operations. We have conservative leverage $200 million undrawn operating facility and $403 million of cash. As mentioned on previous occasions, we have several initiatives to increase production over the next couple of years with the Louisiana project and initiatives in New Zealand and Medicine Hat. We are in a very strong financial position and capable of funding all of these growth projects from cash on hand, further debt capacity and cash generation. In addition, as our production and cash generation improves we expect that we can continue to increase dividend over time and longer term return excess cash to shareholders through buy backs. So, before stopping for questions, I’ll comment briefly on our expectations for the fourth quarter. As ever there are lots of moving parts and assumptions that will evolve over the quarter so it’s difficult to provide precise guidance , but firstly the pricing environment has improved. We are currently expecting to achieve a higher price realization in Q4 compared to Q3. We expect produced sales volumes to be similar or a little higher in Q4 as the two-plant operation in New Zealand will be fully integrated into our sales. However, this will be offset by lower production in Trinidad due to the Atlas repairs and sales from Egypt will be lower than normal due to the recent gas constraints. And as I mentioned a few moments ago, we will be taking a $5 million restructuring charge related to Chile in Q4. Taking all these facts into account, we expect improved Adjusted EBITDA and improved Adjusted net income in the fourth quarter. So, at this point I am happy to stop and take any questions that you might have.
Operator: Thank you Mr. Aitken. (Operator Instructions) The first question is from Jacob Bout with CIBC, please go ahead.
Jacob Bout – CIBC : Hi
Bruce Aitken: Hi Jacob
Jacob Bout – CIBC : Question on Trinidad, and how much capacity has been down in October. And not only your capacity but others in Trinidad and when do you expect that to be resolved?
Bruce Aitken: Yeah, we don’t really know Jacob. We took the Atlas plant down because it was apparent that the repairs to the platforms were ongoing during October. So, during that period Titan has operated quite well, but not quite to capacity but it was operated at high rate of utilization, so our on-site[ph] has been operating in at least half rates, we expect that the other methanol producer has also lost some production during October and then we know that the ammonia sites have been operating in full capacity. We think those two large platforms that were there down and they are either up or they are close to being up now, so it feels like we’re coming to end of this quite a significant shortfall of supply. I think it rips in something like 17% of total gas supply in to the island, was out as a result of the repairs, the two platforms that have been worked on.
Jacob Bout – CIBC : And how much is Trinidad of the global methanol supply?
Bruce Aitken: Oh heavens, I guess we’ve got 2.5 million tones and MH[ph] Steel would have John, 4 to 5, so its 7 million tones Jacob of 50 million tones, so it is a largest country as contributing supply to the global market.
Jacob Bout – CIBC : In your understanding, so once those work in the platforms is complete, this should rectify this situation, so this is not a pricing issue at all, or?
Bruce Aitken: No, for the most part, this has been maintenance on platform. There is a, I think I’ve explained before that there is something of a pricing issue that there is a mismatch between the upstream supply contracts and the downstream demand contracts. And whenever there is a disruption there seems to be a short fall of supply coming into the system. And there is no shortage of gas, this is about pricing between the upstream and the government entities that manages gas supply. And I think that’s an issue that we’ve been working on quite diligently and I hope we can be part of the solution to that in the coming months.
Jacob Bout – CIBC : So, then the tightness in this market should be relieved in the U.S. and Europe as we get into November, December once this gas comes back on?
Bruce Aitken: Well I think, that’s a broader question. I think global inventories are really short and maybe I’ll ask John to make some comments for that global market, but I wouldn’t just be looking at Trinidad and saying like everything will be okay once Trinidad starts operating, But I don’t know, what do you think John.
John Floren: Yeah, so just to talk about Trinidad as the (inaudible) when we took out that is down in our total front some unplanned maintenance that we had to do to match what was happening with the up streams, so I think once the platforms are repaired, you would expect more normal operations but even when those platforms are running, we saw restrictions ongoing up to 15%. We don’t think that’s’ going to change until this upstream downstream mismatch is resolved. You know, we would think if you get back to a maybe 5% operating rate in Trinidad, and nothing else happens globally and the demand stays where it is today, which I would characterize as steady, you should get back to a more normal situation getting into 2013 but it’s hard to predict what else might happen in the world between now and then.
Jacob Bout – CIBC: And then just a quick follow up here.
Bruce Aitken:
Jacob Bout – CIBC : Okay, moving the second plant from Chile to Geismar, would you do that without a gas contract?
Bruce Aitken: Well, we prefer to have a gas contract for sure and as I intimated we’ve got we’re quite optimistic that we’re going to have a gas contract, we had very good discussions with a number of gas suppliers and I think there is an appetite out there, so that’s part of the reason we feel quite positive about the opportunity to move the second plant.
Jacob Bout – CIBC : Great, thank you very much.
Operator: Thank you once again as a reminder please limit you inquiry to one question plus a follow up question, after that if you have further questions please rejoin the queue. The next question is from Laurence Alexander with Jefferies, please go ahead.
Rob Walker – Jefferies : Hello this is Rob Walker on for Laurence.
Bruce Aitken: Yeah, Hi there Rob.
Rob Walker – Jefferies : Hi guys. I guess can you give us a better sense of what’s going on in China right now specifically kind of, whether you’ve seen the Chinese producers increase their production much at all, given in lower coal prices and whether the sequential increase in DME, you’re talking about in Q4 can pressure spot price as higher? Thanks
Bruce Aitken: Yes certainly. We observe as much as others do. The Chinese economy is flat, there is not much excitement going on there and I think until the change of leadership occurs at sunlight if anything much would change. I think there is lots of things going on in China. One, the impact of reigning in sanctions that have impacted imports into the country, mandating up and down a little bit, they were quite low I think in June and July, they came back a bit in August and I see that they are down a bit again in September, so that’s’ been another factor that’s influenced the volume and supply in China. I think lower coal prices have helped Chinese coal producers. We have seen a bit of increased production, I think they have raised[ph] by 11.4 million per tonnes per month at the moment, and a few months ago that would have been close to 1.2 million tonnes per month. So, we have seen some increase in domestic supply and most of that flows into either fuels or MTO. So, it doesn’t really impact the traditional markets. Other than that, John any?
John Floren: Just to add a couple of points, on the coal pricing at around 710rmb, we’ve seen imports of coal back out seems to be at some of the cash breakeven. So we’ve seen Australian coal back out and we’ve seen U.S. production, whether be in West Virginia or in Wyoming shutdown as well. With regard to DME, we are seeing an all new to substitute propane and LPG’s traded at discounts to normal oil ratio, so that is putting let’s say a ceiling on DME pricing with the affordability of methanol. As we get into the winter months in China, there is still quite a bit of gas production, methanol gas production in China, that becomes under pressure. And I think about a quarter of the methanol produced in China is still from natural gas, so in the past we’ve seen that shut down in preference for heating and electricity, we’d expect that to happen again this fall, so there is still some new production coming on in the quarter, mainly coal based, so all the puts and takes we wouldn’t expect the production to be much different than what Bruce mentioned at 1.4 today.
Bruce Aitken: If you see, prices are reaching up, input prices in return are reaching up, they are over $370 in the last day or so and they were down in the 360 is not so long, apparently there is some upward pressure on pricing, but certainly not to the same extent as North America or Europe.
Rob Walker – Jefferies : Okay great, and then can you talk a little bit about your expectations for production from the Egypt facility in Q4, and you notice many in general and not so early but, can you talk about, do you think of mulling[ph] if they are for a few years out, what kind of would be a reasonable utilization rate as in the infrastructure and that reaching its built out? Thanks.
Bruce Aitken: It is really really hard to answer this question with any clarity Rob, but I think the guidance we offer that The Investor day was if you put 70% in the next year, that’s probably a fairly conservative number. What we’ve observed in the last few weeks is, I see the Prime Minister making comments around the importance of the petro chemical industry and the importance of getting these industries operating because they were key for the growth of the economy in Egypt. So, there are a lot of statements being made that are very supportive of increased gas supply and more reliability and more stability. But as I intimated in my comments, there is an element of uncertainty that remains in that country and it would take a while for them to get back on their feet and find stability. During the mean time our plant is operating has been quite reasonably steadily over the last few months. And we certainly expect it to continue to do so. So around that kind of 70 or 80% level, I think it is a reasonable estimate, until we see a bit more stability coming into the gas grid system.
Rob Walker – Jefferies: Great, thank you.
Operator: Thank you, the next question is from Hassan Ahmed with Alembic Global, please go ahead.
Hassan Ahmed – Alembic Global: Hi there Bruce.
Bruce Aitken: Hi Hassan.
Hassan Ahmed – Alembic Global:  Question is a strategy related question. Thus far it seems that what you’re trying to do is I guess optimize or boost production at existing facilities. Now on its Q3 calls Celanese recently talked about how they would consider looking for partners with regards to the 1.3 million tonne clear lake facility that they are in today. I mean is that, Greenfield capacity adds in the like, is that something that you would consider in the near to medium term?
Bruce Aitken: I feel some of the -- I think most companies prefer to own a 100% of things and you got complete control and you can exercise all the flexibility you have in it. It’s just a better way to run your business, but that said, sometimes joint venture work better as well, we had a joint venture in Egypt. We’re very happy with our partners and I think it improves alignment and similar thing within Trinidad. BP has been an outstanding partner for us and we’ve really enjoyed that relationship so there is certain circumstances where we are having partners, is the right thing to do. And, so we’re always open to the idea, while I think philosophically we prefer to own everything, but we never say no.
Hassan Ahmed – Alembic Global: But I mean in line with some of your other joint ventures, it would be a majority stake if you were to consider such a thing?
Bruce Aitken: I think so, that’s just only our preference. We don’t have a track record in taking minority interests and I think it would be only in a circumstance where maybe we’re supporting a large off take or something like that and maybe we think about taking a small minority position. I think philosophically we prefer to have to own 100% and then we run the plants and want it work to our own standards, and we put it over (inaudible) safety and processes, so philosophically that’s where we prefer to be. But we never say never to other opportunities.
Hassan Ahmed – Alembic Global: Fair enough. Now slightly separate topic, over the last week or so, there was this IRS ruling that came out here in the U.S. which essentially talks about if you convert NGL’s into petro chemicals, you could actually list yourself as an NLD. Now, clearly I do understand that methane is into part of the mix right now, but as you guys consider so to the relocation of the Chilean facilities, is this something that you’ve looked into?
Bruce Aitken: No no its certainly we are looking into it right now is own it and your right, the ruling that came out was very specific to a company and an industry, but you would think that if it was applicable to Ethane, then it would be equally applicable to. So early day, we have put some structure in place around the ownership of our assets in the United Sates to manage our tax position, so we need to consider what we currently relative to the benefits of an MLP structure and we’re doing that with a moment.
Hassan Ahmed – Alembic Global: Very good, thanks so much Bruce.
Bruce Aitken: Okay. Good.
Operator: Thank you, the next question is from Paul D’Amico with TD Securities, please go ahead
Paul D’Amico – TD Securities: Thanks. Bruce, I got two clarifications and I’ll ask my one question. First on the Egypt operate, so I heard you say it was 70%, can you just confirm so was it 70% operate currently and it’s been uninterrupted at 70% since the most recent restart?
Bruce Aitken: It’s been operating around 70%, I don’t want to get sucked into talking about every kind of ups and down Paul because...
Paul D’Amico – TD Securities: That’s, fine. I just wanted to know that it wasn’t shut down and it’s like we haven’t averaged so far of 70%. And you’re expecting that to be the case for Q4 basically?
Bruce Aitken: Yeah, in the uncertain environment we live in, there is nothing to make us think that it would be different but who knows, you changed the price before.
Paul D’Amico – TD Securities: And the second clarification, on when you were talking about the Q4 outlook, you were talking about produced volume, and I missed some of it. I missed in some of the pull back on the volume on the Trinidad outage and some of the Egypt on the operating rates. Did you say produced volume is expected to be similar or higher versus Q2 after netting out those differences?
Bruce Aitken: Its similar, it will be similar. A bit more from New Zealand, but it will be less than Trinidad and given that we’ve been operating a lower rate in Egypt in Q3, that flows into lower sales in Q4, so an increase in New Zealand kind of offset by other areas.
Paul D’Amico – TD Securities: Okay, so similarly, so big change.
Bruce Aitken: In terms of produced sales volumes, I got their rotations.
Paul D’Amico – TD Securities:  Got it, okay so, now my question is a very limited one, in terms of when you talked about the production growth initiatives for or potential production growth with expecting New Zealand and Medicine Hat, so with respect to New Zealand, you talked about decision needs more certainty on the Wiatara plant regarding a gas contract, so we have got many[ph] thousand tonnes overall kind of potential growth in New Zealand, is there a timeline that we can expect a decision year-on-year on that, or is that just a food process going forward, same thing with Medicine Hat, I am looking for a time line on this decision on those
Bruce Aitken: Okay, well it is two primary projects and these -- once the bottleneck of the Motunui plant and we’re well through our engineering of that, but we need to complete the engineering and be sure that we properly understand the capital costs. We should be in a position to make a decision on that. I am looking at Michael MacDonald here, soon Michael?
Michael MacDonald: In July.
Bruce Aitken: No no in terms of Motunui, the Motunui to Bottleneck.
Michael MacDonald: End of the year.
Bruce Aitken: Yeah, end of the year and that’s a project that would take about 6 months and so would be. So we have got a major turnaround on the Motunui 2’s plant in Q3, Q4 next year, which will be, it’s quite a major one. There is a lot of stuff to be done on a 60-day outage. So, what we hope to do is have the bottleneck completed probably in the mid year some time in Q3. Our current plan, what we’d like to be able to do is start up the Waitara Valley plant before we shut down Motunui 2 for the major maintenance. Based on the current position around gas contracts, we would not be able to do that. So, the decision on Waitara Valley is, we need to make that decision in the next month or so, and we’ve been working hard on gas contracts, so there’s (inaudible) we have not been successful in concluding those agreements yet. So, I think if you looking for the guidance and I would, think you can head Waitara Valley end of the -- as a sensitivity. I’m hoping that we can still get some conclusion on these gas contracts, in which case it would be started up in Q3 as well. In terms of Medicine Hat, again we’re in the middle of engineering there, we have both the equipments, so those imply that we’ve got some level of confidence and that’s a mid 2013 project as well.
Paul D’Amico – TD Securities:  So, Medicine Hat would be by year end as well?
Bruce Aitken: No, mid 2013.
Paul D’Amico – TD Securities: No that would be completion alright?
Bruce Aitken: The decision? Yeah Michael, would inform that.
Michael MacDonald: I’m expecting that by the end of this year.
Bruce Aitken: So, we would decide by the end of the year. But as I say, we purchased the equipment, I think you were at the site, and saw some of the site works going on, so we do need to complete the work and I’m not really sure if this is the right thing to do, but we’re proceeding as though it is.
Paul D’Amico – TD Securities: And tied to this question, the 160 million CAPEX, that would be attributable to those projects. Can you give us the split?
Bruce Aitken: I don’t know. Michael, do you have the numbers? I think Medicinal Hat was 30 odd million. So the risk, is that right Paul, your with us Paul?
Paul D’Amico – TD Securities: Yes sorry, I missed that, what was that?
Bruce Aitken: Yes sorry, $30 million Medicinal Hat, but the balance must be in New Zealand, 130 million in New Zealand.
Paul D’Amico – TD Securities: Okay, with 130, can you spilt between the bottleneck and the (inaudible).
Bruce Aitken: It’s about half and half.
Paul D’Amico – TD Securities: And just getting back to the same question though, the reason I was asking for
Bruce Aitken: Follow up Paul, is it?
Paul D’Amico – TD Securities: No no it is the same, the timing I’m just wondering in terms of how well it gets communicated to us. Is it something that you would actually don’t know given what had happened with respect to the Egypt operating re-disclosure? Is it something that you look to lately communicate uniformly or is it something we should look another way to get that information?
Bruce Aitken: No, I think in the case of when we saw in gas contracts, we’ve typically made press releases, because I think those key important steps for us, so we would when we sign gas contract with Nissan, that we will certainly notify the market and I think that will be a good signal at where we’re heading and (inaudible) it is probably not big enough, I think you can make your assumptions going ahead and added onto your forecast.
Paul D’Amico – TD Securities: Okay I appreciate it, thank you.
Bruce Aitken: Okay.
Operator: Thank you. (Operator Instructions) The next question is from Robert Kwan with RBC Capital Markets, please go ahead.
Robert Kwan – RBC Capital : Good morning. First question here is on DME in China, and John, you had mentioned that as we head into the winter that, you’d expect increase in DME, but on the flip side, you felt that some of the lower cost propane that was coming in might put a bit a cap on that upside, you just taught us to go forward here, with some of the major expansions of propane export capacity in the gulf that are going ahead and then some of the proposals to put more propane or some propane, I guess off of west coast Canada, and how do you see that playing into the overall pricing of DME and what impact could you potentially see on methanol prices in China?
John Floren: Well currently the market in China split into a southern market and an eastern market. The southern market tends to trade at a higher price of about $20 to $30 higher because there is not as much refining capacity down there, so it’s mainly imported. Today’s price affordability for DME in the east market China East is around 370 and $20 higher in the south. I mentioned we are seeing this disconnect on liquids and propane, etc from oil from historical ratios. I would agree with you there is quite a bit of new production coming on from LPG’s. I am not an expert and opt to know the outlook for LPG’s versus oil and that ratio, like you would expect as more liquids are produced that, that ratio would be under pressure, but I am not, like I said expert enough to have an outlook for a three or four years. What I would say is that today, there is about 3.1 million tonnes of methanol going into DME and China, mainly for this propane substitution process. So I’d say unless we saw something really different on oil/propane, that’s kind of like a price ceiling. What we might see happen is that as MTO comes on and there is not enough methanol production to satisfy the MTO demand that are current, look at MTO, its looks like it can afford to pay more for methanol than DME, so as its MTO comes on because of a situation where DME is forced to shut down because they can’t afford to pay as much for methanol as MTO. Early days we were watching it very closely, but maybe in the coming quarters, we will be able to report a little bit more on actually what’s happening.
Robert Kwan – RBC Capital : Okay, that’s great color. And just the other question I have is on Geismar and I know you have been looking to try to get a long term contract and directionally what you said is if you were unable to get a long term gas supply contract, you wouldn’t be particularly interested in relocating a second unit out of Chile and taking on that spot price risk? If you were able to get that long term contract, would you then be comfortable bringing a second unit up and maybe not having a long term supply there or do you just feel that, that’s going to be too much methanol supply?
Bruce Aitken: No, I think from having too much methanol capacity tied to a spot price that moves everyday feels a bit risky to me. So that’s why we would like to have one contract and then, that allows to commit to move a second plant and then maybe we would get a second contract. We’re in a long term business where these assets last for decades and you prefer to have (inaudible) certainties underpinned for long term operation of the asset, so I think philosophically again, you prefer to have contracts supporting all of your assets, but the point we make is, when we look at the demand supply balances in natural gas in North America, we think even if we calculate the contracts, we can get our capital back and make a decent return on the first front, but the absence of a contract probably would differ our decision on a second plant.
Robert Kwan – RBC Capital : But, I guess just to make sure Bruce, so you’d indefinite as to whether it’s the first unit or the second unit that’s underpinned by long term gas supply contract, obviously preferably you’d like to have both, but your okay having two plants producing in North America under one contract.
Bruce Aitken: That’s right, yes.
Robert Kwan – RBC Capital : Okay, perfect, thank you.
Operator: Thank you. The next question is from Ben Isaacson with Scotiabank, please go ahead.
Ben Isaacson – Scotiabank: Great, thank you. Just two very quick questions on Trinidad. I don’t want to flog a dead horse but your conversation with BP regarding their stake in Atlas is that really still at a bit of a standstill?
Bruce Aitken: Their horse is dead Ben.
Ben Isaacson – Scotiabank: Okay that’s good to know.
Bruce Aitken: I don’t know if we’ve had any conversation on that, 6 or 8 months maybe in a year, it’s a long time. We’ve withdrawn from any interest in it.
Ben Isaacson – Scotiabank: Okay, that’s helpful and my second question is, when you take Atlas down, does that mean that you can divert more gas to Titan and therefore run it at a 100 or greater than a 100% for that time that Atlas is down, or does it not work that way.
Bruce Aitken: No, they are different gas contracts and we have different gas suppliers underpinning our contracts, so no, there is not really too much the flow between the two plants. When Atlas is down, clearly there is bit more gas supply though, also I think indirectly Titan probably as they would operate at a higher rate over the last month as a result of the maintenance we’ve done on Atlas.
Ben Isaacson – Scotiabank: Okay, and then just lastly, you’ve talked about being engaged with key stakeholders in Trinidad, can you just kind of talk about what some of the longer terms solutions are, or maybe other than once these temporary platform problems are fixed. Is there talk about storage or obviously increase in the price to the gas producers, etc.
Bruce Aitken: Right, I think the fundamental issue is that the government company that manages gas supply in the country are kept as a lot of the upside in gas pricing. So, the upstream is not seeing the sort of gas prices that we are paying, And I think, therefore the incentive to continue exploring and the incentive to continue providing incremental supply is simply not there, so what the solution is being cried out for is, to create a mismatch between the upstream and the downstream. And it’s in totally in the hands of the government and it requires into have them a rethink about how gas is priced and how it flows. And I think there is a realization of what the issue is and people are working on finding sensible solutions.
Ben Isaacson – Scotiabank: Okay, thanks Bruce.
Bruce Aitken: Okay.
Operator: The next question is from Gregg Hillman with First Wilshire Securities, please go ahead.
Gregg Hillman – First Wilshire Securities: Hi, I had a kind of question about longer term strategy. Basically, whether it makes sense for the company to get involved in fertilizer production and particularly Ammonia, and I was wondering whether when you’re going to transfer or thinking about transferring that second plant in Chile to Louisiana, whether would make more sense and better economics to take that money and build an ammonia plant maybe that could also make urea, because so much capacity in ammonia has been taken out in the United Sates since 2007?
Bruce Aitken: Yeah, I don’t think so Greg. We’ve thought about this in many occasions, we used to make ammonia (inaudible) in their plant in (inaudible). And perhaps sadly we sold out of that in the bad old days when ammonia process were awful, but I think over the years we’ve looked at numerous occasions, should we add to our product portfolio and every time we’ve looked at it, we think that there is lots of things that we can continue to do in methanol, to an industry that we know very well and we can continue to find ways of improving and by out positioning in it, and just maintaining our focus on, I think that certainly the position our board supports and I think it’s the right answer for us as well. Yeah, so we really no interest in about this occasion[ph].
Gregg Hillman – First Wilshire Securities: Okay, thank you.
Operator: Thank you. The next question is from a Rosh Quesboni[ph] with Raymond James, your line is now open, please go ahead.
Rosh Quesboni[ph] - Raymond James: Hi guys, this is Rosh[ph] for Steve. Just wondering if you can give us any color, any additional color on the Geismar gas contract negotiations, you know how many parties your negotiating with and/or have you found that interest has grown from the gas suppliers who are running a contracts or has it declined and finally, do you still think it will be a sliding scale for you to secure contract?
Bruce Aitken: Yeah, so we’ve had conversations at 4 or 5 different parties and the parties that we’ve made most progress with, we talked about methanol price sharing, so same sort of arrangement that we have in most of their plants. And I think that’s we found a receipt of audience amongst the gas industry, we talk about the relationship between methanol process and the process of oil, so if you want the process of gas to up and down on overall prices, the best way to do that is to link the price with natural gas to methanol and I think that’s an argument that has a receipt of audience, amongst a number of gas suppliers. Although, we’re very close with one party but we’ve several other conversations going on, so it is in the North America has not really signed, no one in North America signed long term gas contracts for 20 or 30 years, it is a long long time. And this market developed lots of financial instruments but it hard to justify spending billions of dollars underpinned by their short term financial instruments, so I think we’re the cutting edge of the development of longer term contracts in this continent, and it’s a necessary step to get the sort of investment that can increase demand for natural gas. Then I think this section of the gas supply industry that appreciates that.
Rosh Quesboni[ph] - Raymond James: Great, thanks guys.
Operator: Thank you. (Operator Instructions) The next question is from Bert Powell with BMO Capital Markets, please go ahead.
Bert Powell – BMO Capital Markets: Thanks Bruce. I apologize if I missed this, but what is the expected utilization out of the Trinidadian facilities in the event that there is no sensible resolution to some of the issues between the upstream and downstream that you talked about?
Bruce Aitken: Well, I saw the minister commenting just a month ago, at the beginning of October, the short fall of gas gone to the island and in the first 6 months of the year being about 5%, now that doesn’t fall equally on all consumers, the electricity generation for example gets a100% and I think L&G gets a bit of preferential treatment as well, so in our experience has been around 90%, and I think that’s somewhere between 90 & 95%, is probably what we would expect. It’s a very hard question to answer because if all of the facilities are operating, then there is no, this mismatch I talked about doesn’t exist and I think the reason that the facilities haven’t been operating particularly BP have been going through an extensive maintenance and repair process over the last couple of years, and some of that will continue into 2013 as well. So, I think when everything is operating we’ll get a 100% of our gas. When there are outages for repairs are planned or unplanned, then we will probably our experiences being around 90% of our gas.
Bert Powell – BMO Capital Markets: And then just lastly, on Wiatara, is your confidence in terms of getting a, I think you said to do that you want to have a firm contract, has your confidence or is the dynamics in that market changed you in terms of your thinking on your ability to restart Wiatara?
Bruce Aitken: No not really, I’m frustrated how long it takes to reach what I think a sensible conclusion, so you know like most of things, the gas suppliers want to give as much as they can for their gas, and we were in the play where we think so sensible and see a price for gas, and sometimes it takes a while to agree on what that number is, so this is taking a bit longer than we anticipate.
Bert Powell – BMO Capital Markets: So, I shouldn’t infer from your commentary that the dynamics are any worse than there?
Bruce Aitken: This is all about the kind of negotiation and closing a deal.
Bert Powell – BMO Capital Markets: Okay, perfect thanks Bruce.
Operator: Thank you. The next question is from Winfried Fruehauf with W Fruehauf Consulting. Please go ahead.
Winfried Fruehauf – W Fruehauf Consulting: Thank you and good morning. Regarding the gas supply contracts, your hoping to negotiate for Geismar, are you hoping sign a contract with a single supply or multiple suppliers?
Bruce Aitken: Well, at the moment it looks like a single supplier and its a 10-year contract
Winfried Fruehauf – W Fruehauf Consulting: Okay, and could you please explain why and how you will be able to compete with L&G exporters from the United States to the far East, in terms of price?
Bruce Aitken: Well, I think the imminence of demand, we’re starting up our plant in the beginning or the end of 2014, so by the time someone’s permitted and built a L&G export facility, that’s going be around 2018, 2019, you tell me, it’s a long term in the future, so I think the attractiveness of our offering is that we can begin to consume gas in the realm[ph] of the near term.
Winfried Fruehauf – W Fruehauf Consulting: Yeah, but the L&G exporters require longer term contracts too, and if they preempt Methanex, how can you expect to be able to get a competitive price for natural gas?
Bruce Aitken: Most of the L&G exporters went for their own gas themselves, so this is about, I’m trying to maximize the value of the molecules they own personally, so we’re talking to people who are domestic producers of natural gas in North America and want to find domestic demand for natural gas. And I think as we say, they are attracted by the imminence of the start up of our plants.
Winfried Fruehauf – W Fruehauf Consulting: Okay, and I have a follow up question if I may, what air emission standards does the Geismar plant have to comply with and are you confident, that you will be able to do so?
Bruce Aitken: I think we’re in an attainment area, so that’s better than being in a non-attainment area, so it reduces the standard. We have invested on Knox abatement on that plant and that was an advice we had at an early stage that if we invested in Knox abatement, that would make the permitting process easier, say we’re right at the end of permitting, we adjust things through public consultations in the last couple of days, we’re not aware of any, there has been no negative commentary from, its Saturday consultation, so we’re expecting the payments to be issued just in due course and I don’t think there is any issues for us with regards to that.
Winfried Fruehauf – W Fruehauf Consulting: Is there a potentially a CO2[ph] if you?
Bruce Aitken: No, that’s not something, that’s an issue for us.
Winfried Fruehauf – W Fruehauf Consulting: Okay thanks very much.
Operator: Thank you, there are no further questions registered on the telephone lines at this time. I would now like to turn the meeting back over to Mr. Aitken.
Bruce Aitken: That’s great. Well, it’s a good time. I was just about to call and end anyhow. So, thanks very much for that and thanks for everyone for participating in the call. So as I’m sure you’ve all read by now that it’s my intention to retire at the end of this year. I was just commenting to my colleagues here really, I think this is conference call number 38. So that feels like enough, it feels like a lot of conference calls. I know that there’s a lot of things I’m going to miss about my job and about, the day-to-day contact that I have with employees and with customers and with shareholders. But I continue to be extremely excited about the future of the Company. I’m really pleased that I’ve been invited to hang around as a member of the Board, and I hope to be able to make a contribution and really support John in the future. And I’ll certainly hang around as a major shareholder as well, so I continue to have a significant personal interest in the future prosperity of our Company. And now I’ve said on a number of occasions, and I reiterate again today, it’s hard to think of a time in the past that has been as positive as we are at the moment, where the industry looks in great shape, where demand continues to grow strongly and there’s limited new supply additions over the next few years. And in that environment, we have lots of great growth opportunities, so I think we’re sitting in a really, really nice position. I think the company is in great hands and we have a very good succession process. I’m sure that John’s going to be just an exceptional CEO. 25 years experience in the chemical industry and lots of knowledge of the global methanol industry. Internally, the transition so far has been completely seamless and it’s exactly what we expect on a go-forward basis as well. So, I’m confident that with John’s capabilities and passion and the dedication to Methanex, that the Company is headed for great success and that all of us shareholders are going to be well rewarded in the future. So just in closing, I’d like to thank you for all of your support over the years and over the recent quarter, and say good morning to all of you. Thank you very much.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. Thank you for your participation.